Operator: Hello, everyone, and welcome to the Intapp Fiscal Third Quarter 2025 Webcast. [Operator Instructions] Please be advised that today's conference is being recorded. Now it's my pleasure to turn the call over to the Senior Vice President of Investor Relations, David Trone. The floor is yours.
David Trone: Thank you. Welcome to Intapp's fiscal third quarter 2025 financial results. On the call with me today are John Hall, Chairman and CEO of Intapp; and David Morton, Chief Financial Officer. During the course of this conference call, we may make forward-looking statements regarding trends, strategies and the anticipated performance of our business, including guidance provided for our fiscal fourth quarter and full year 2025. These forward-looking statements are based on management's current views and expectations, entail certain assumptions made as of today's date and are subject to various risks and uncertainties, including those described in our SEC filings and other publicly available documents that are difficult to predict and could cause actual results to differ materially from those expressed or implied by such forward-looking statements. Intapp disclaims any obligation to update or revise any forward-looking statements except as required by law. Further on today's call, we will also discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results, including non-GAAP gross margin, non-GAAP operating expenses, non-GAAP operating income, non-GAAP diluted net income per share and free cash flow. As a reminder, all of our financial figures we will discuss today are non-GAAP except for revenue and revenue growth, cash and cash equivalents, and total remaining performance obligations. Our GAAP financial results, along with reconciliations of GAAP to non-GAAP financial measures can be found in today's earnings release and its supplemental financial tables, which is available on our website and as an exhibit to the Form 8-K furnished with the SEC prior to this call, or a supplemental financial presentation, which is available on our website. With that, I'll hand the conversation over to John.
John Hall: Thank you, David. Good afternoon, everyone. Thank you for joining us today as we share the results of our fiscal third quarter. I'm happy to say that once again we've achieved strong quarterly results driven by the launch of new solutions and AI capabilities, an exciting new acquisition, new partnerships, and an expanding client base around the world. In Q3, our Cloud ARR grew to $352 million, up 28% year-over-year. Cloud now represents 77% of our total ARR of $455 million. In the quarter, we earned SaaS revenue of $85 million, up 28% year-over-year, and total revenue of $129 million, up 17% year-over-year. Now I'd like to share some key innovations and growth drivers from our fiscal third quarter. In February, we hosted our premier product event, Intapp Amplify, in New York, which was attended by leaders from more than 400 of our client firms. We previewed our latest advancements in alignment with our growth AI strategy, and we demonstrated our ongoing commitment to tailored innovation. First, we announced the general availability of Intapp DealCloud Activator, a research-backed AI-enabled growth platform that gives professionals the tools, insights, and coaching they need to build, scale, and apply the most successful business development behaviors. We previewed our transformed Intapp Time product, scheduled for release this summer. The new Intapp Time uses generative AI and a modernized user experience to make timekeeping faster and easier for professionals. Complete and accurate time entries help firms grow and better realize revenue while making clients happier by reducing errors and non-compliant billing. We introduced Intapp Walls for AI, which offers protection against the oversharing of confidential data by AI tools, letting firms constantly deploy AI, no matter the provider. We also added 3 new features to Intapp Assist for DealCloud. First is an origination capability that uses applied AI to deliver search results based on users' investment criteria and preferences, helping to uncover more opportunities faster than ever before. Next is a smart tagging capability that further automates data capture and enhances organization, ensuring that firm intelligence like client activity, deal status and prospective opportunities is easy to find, understand and use. And we delivered a prompt studio feature that helps investors advisors tailor their AI to generate highly personalized insights specific to their role, giving them even better performing AI for their unique investment and client strategies in pursuit of growth. Zach Polley, an associate at Alterna Equity Partners, told us Intapp Assist enables us to include more information on intermediaries and target companies. With smart tagging and AI suggestions, information is inputted faster than ever with 100% accuracy, allowing us to include more and get more done in a shorter time frame. Following the success and client response to Intapp Amplify in New York, we're looking forward to bringing the event to London this May as well. We're also pleased to be continuing our success in real assets. A key win from this quarter is with a large U.S.-based real assets firm. They recently replaced a legacy horizontal CRM with DealCloud to access better investor relationship data and accelerate fundraising as they establish new investment lines. We're continuing to grow and enhance our real assets offering through the strategic acquisition of TermSheet, a software provider for real estate teams. Bringing together DealCloud and TermSheet adds additional capabilities and expands our ability to serve new personas within real assets. Combined, DealCloud and TermSheet will deliver a powerful operating system tailored for every aspect of the real assets investment lifecycle. One of our clients told us that this strategic move differentiates Intapp from more narrow deal management solutions, validating that we've chosen a partner who will innovate to help us grow. We're pleased to welcome the TermSheet team to Intapp, further building our unparalleled team of industry experts. Our partner ecosystem also continues to be an important cornerstone of our company's strategy. We're continuing to achieve strong growth, signing 8 new partners this quarter and bringing our partner ecosystem to more than 140. New partners span technology integration, services, data, and software companies, including Infabode; a research, news and insights platform for the real estate industry; and Subscribe, a provider of complementary investor onboarding capabilities. Additionally, in March, we co-hosted our third annual CIO Leadership Summit with Microsoft for a group of select, legal, accounting, and consulting CIOs. Held at Microsoft's Redmond Campus, the summit focused on driving innovation and accelerating productivity through AI and cloud technologies. It also highlighted the power of our partnership, including the many key integrations that enable operational transformation and enhanced collaboration. Okay, I'll turn now to Q3 wins, both new clients and expansions, as well as cloud migrations. First, I'm pleased to share that we're continuing to grow through the addition of new clients. Here are a few examples from the quarter. New Forests, a global investment manager of nature-based real assets and natural capital strategies, chose DealCloud to streamline its reporting and communications and to better track investors and fundraising for a more tailored approach to relationship management. The next, Omnes Capital, a private equity firm dedicated to energy transition, replaced a legacy horizontal CRM with DealCloud to increase adoption and better manage investor relations and communications. Next, Australian law firm Gadens, chose Intapp Intake and Intapp Conflicts to improve compliance with new anti-money laundering and counterterrorism financing regulations. And next, a global law firm based in Europe, selected Intapp Conflicts, intake and terms to support its strategic growth with improved data quality and streamlined processes for regulatory adherence. This quarter, we also continued to see a keen focus on independence in accounting with firms choosing Intapp employee compliance to replace homegrown or legacy solutions and manual processes. These include Crow, a top 20 U.S.-based accounting firm; and Cohen & Company, a top 50 accounting firm. As well, this quarter, upselling and cross-selling success in our existing accounts continue to drive strong cloud net revenue retention. I'll share some notable examples. First, existing client DNB, Norway's largest financial services group and bank, increased its number of DealCloud seats after acquiring Carnegie Bank and standardizing on our platform. Next, a U.S.-based global alternative investment firm, added additional DealCloud seats to bring all Deal teams onto the same platform and create one central point of information. Next, an AmLaw 200 client focused on M&A transactions replaced its legacy horizontal CRM with DealCloud. This furthers their goal of creating a legal ecosystem in the cloud along with Intapp Time, Conflicts, Intake, Terms and Walls. And next, Accordion, a private equity-focused consulting firm that I mentioned in the past when they purchased DealCloud, added Intapp Conflicts to help them bring on new business without conflicts of interest among their clients and PE investors. Finally, we continue to help more legal clients, including Fenimore, Blazer Weil [ph] Jackson Lewis, and Smith Gambrell, migrate Intapp Time to the Cloud. Once implemented, they'll have access to a more modern web client, new AI features, and continuous innovation, including the new Intapp Time announced at Amplify. In conclusion, we're proud of our strong third-quarter performance, and we continue to be optimistic about our growth opportunities. As our Q3 performance has shown, we are growing by adding new capabilities and increasing our global enterprise go-to-market reach. We see continued opportunity both to add new clients across a broad TAM and to deliver greater value by expanding our existing client base. We're serving a durable end market with our subscription revenue model, industry-specific cloud platform and applied AI and compliance capabilities. We have a great growth opportunity to drive AI, cloud adoption and modernization across all the industries we serve. As always, I'd like to thank our clients, our partners, our investors, our Board and our global Intapp team for their teamwork and dedication. Thank you all very much. Okay, David, over to you.
David Morton: Thank you, John, and thanks to everyone for joining us today. A special thank you as well to those who turned into our Amplify keynote in February to hear about Intapp's latest product advancements and roadmap strategy across our vertical-specific solutions. As a product-led growth company, our rate of pace of innovation over the past year has been exceptional. With that, I am pleased to report a solid third quarter performance. The durability of our cloud business was evident in Q3, driven by progress with large accounts across verticals and geographies as well as success in transitioning client spend to the cloud. We also continue to demonstrate improving efficiencies and leverage within the model. We are confident in our ability to deliver profitable growth as we close out fiscal 2025 and enter fiscal 2026, well-positioned to capitalize on the positive digitalization and cloud native trends in front of us. Let's begin with fiscal Q3 results. SaaS revenue was $84.9 million, up 28% year over year, driven by new client acquisitions, contract expansions and the migration of on-premise products to the cloud. As of March 31, 93% of our clients have at least one cloud module up 1 point sequentially. License revenue was $31.7 million in fiscal Q3, up 2% year-over-year. Positive contributions continue to be on-prem price increases and contract expansions and renewals and these were largely offset this quarter by our steady pace migrating clients to the cloud and onto our SaaS offerings. Professional services revenue totaled $12.5 million, down 6% year-over-year. Our strategic decision to outsource more activities to the partners has allowed us to place greater emphasis on enhancing client satisfaction and driving co-sell pipeline generation supporting our long-term cloud growth objectives. Total revenue was $129.1 million, up 17% year-over-year, driven primarily by sales of our cloud solutions. Revenue from our international operations accounted for over 1/3 of our total revenue this quarter and continues to provide growth opportunities. International revenue grew 20% year-over-year in Q3. We kicked off our calendar 2025 with noteworthy execution on our acquisition and partnership growth strategies. First, as John mentioned earlier, the acquisition of TermSheet marks an important next step in deepening our expertise in real assets, building on strong organic momentum, including multiple new logo wins this quarter. This combination will broaden our capabilities to fully serve real estate teams across their investment life cycles and personas. With this acquisition, we continue to reinforce the core tenets of our ecosystem expansion track record, strengthening the breadth and depth of our vertical-specific offerings and delivering long-term value to our end markets. On that note, our broader alliances and partner ecosystem saw progress this quarter with the newly signed Infabode, a real estate data partner complementary to our TermSheet acquisition. Our partner network grew to over 140 in Q3. Our co-sell motion continues to build the client pipeline, drive wins and strengthen retention as a long-term growth lever. We are optimistic about our investment in and the increasing impact of Intapp's enhanced partner program to strengthen our capabilities across deal generation, technology, data and implementation. As partner certifications have increased 75% year-over-year, we are on a strong pace for our partner ecosystem and platform to become more of a material contribution to fiscal 2026 demand generation and greater assistance on revenue realization. As we continue to focus on our margin and operational efficiencies, Q3 non-GAAP gross margin was 77.9%, up from 75.1% in the prior year period, reflecting continued progress toward breakeven professional services gross margins and reducing the relative top-line contribution from that business. Non-GAAP operating expenses totaled $80.3 million compared to $71.9 million in the prior year period, reflecting our continued investment in our product-led growth. Non-GAAP operating income was $20.3 million as compared to $11.2 million in the prior year period. Non-GAAP diluted EPS was $0.26 in the third quarter of fiscal 2025, as compared to $0.14 in the prior year period. Free cash flow, which is defined as our cash flow from operations less capital expenditures, was $35.1 million for the third quarter or 27% of total revenue. We exited the quarter with $323.2 million of cash and cash equivalents. Turning to our key metrics, Cloud ARR was up 28% year-over-year, while total ARR was up 19% year-to-year. Total remaining performance obligations were $621.5 million, up 33% year-over-year. We remain committed to executing our land and expand go-to-market model, which yielded at quarter end 748 clients with annual recurring revenue of at least $100,000, up from 673 in the previous year. Our $100,000 plus ARR clients now comprise 28% of our total clients of over 2,650. Our 119% cloud net revenue retention rate in Q3 highlights the consistency with which we retain and steadily grow business with existing cloud clients. Now turning to our outlook. For the fourth quarter of fiscal 2025, we expect SaaS revenue of between $89 million and $90 million. As these are newly provided revenue outlook metrics, we are also providing the implied year-over-year growth outlook of between 26% and 27%. Total revenue in the range of $131.5 million and $132.5 million. Non-GAAP operating income in the range of $20 million and $21 million, and non-GAAP EPS results of $0.22 to $0.24 using a diluted share count weighted for the quarter of approximately 85 million common shares outstanding. For the full fiscal 2025, we expect SaaS revenue of between $330.8 million and $331.8 million. As these are newly provided revenue outlook metrics, we also provide the implied year-over-year growth outlook of 28%. Total revenue in the range of $500.6 million and $501.6 million. We also expect non-GAAP operating income in the range of $74.3 million and $75.3 million and non-GAAP EPS in the range of $0.88 to $0.90 using a diluted share count weighted for the fiscal year 2025 of approximately 84 million common shares outstanding. Thank you, and I'll now turn the call back to the operator.
Operator: [Operator Instructions] Our first question comes from Alexei Gogolev with JPMorgan.
Alexei Gogolev: John, first question for you for a while you've highlighted that much of your business is acyclical. Can you talk about various indicators of that in your recent client conversations? And how much does deal activity drive growth of your business?
John Hall: Sure. Thanks, Alexei. As you know, we bootstrapped the company all the way to IPO serving this traditionally underserved end market specific platform. The law firms, the accounting firms, the consulting firms, the investment banks, the private capital firms have a pretty steady demand to move to the cloud, and to adopt AI that fuels the company's consistent growth. The indicators that we watch, obviously pipeline, we watch sales cycle, we watch the overall deployment time that helps folks to get to the next stage, where they can expand further. The platform for us, the macro discussion that's going on around tariffs and everything, obviously all the firms are talking about, we have not seen indications in their operational digitalization move that's affected them. It's been very consistent demand through this period, and we've had that experience through previous economic cycles. We grew right through the 2008 recession and right through COVID. So overall, I think that the fundamental driver here is the need for these firms to catch up with the rest of the industries, to finally get to the cloud. And they have an unusual opportunity, to take advantage of AI given the type of work that they do.
Alexei Gogolev: Great. And Dave, a quick question for you about international revenue. What was the growth in constant currency, please?
David Morton: Yes, primarily USD. So it's almost one and the same.
Operator: And it's from Parker Lane with Stifel.
Matthew Kikkert: This is Matthew Kikkert for Parker. So first, last quarter you talked about solid traction selling DealCloud into the legal vertical. Could you just talk a little bit about, if you saw any continuation of that activity there this quarter and the pipeline around that specific motion?
John Hall: Thanks, Matthew. Yes, we are excited about what's happening with bringing DealCloud to legal, as we are with the other industries as well. This was a question that the investors had when we came public, and we've been highlighting firms that have been taking up DealCloud in legal specifically, to help answer that question. There's a lot of enthusiasm in these firms, particularly the large multi practice firms talking specifically about legal, who are looking to grow by winning new clients, but also through cross-selling their services into their existing client base. There's also an underlying trend in legal where the firms grow through what they call lateral hiring. They bring in law firm partners from other firms, and with them a group of clients. And a lot of the objective there is to bring that person's expertise into their existing client base or vice versa, bring the firms variety of expertise into the clients they bring with them. So that all drives an interest in a much more industry specific business development approach. And DealCloud is purpose built for that style of business development. So there's a lot of demand, and in fact replacing of legacy horizontal CRM systems that don't understand how these professionals actually go-to-market through their network.
Matthew Kikkert: Okay. Got it. And then secondly, with the company leaning more into AI recently, how should we think about level of incremental spend related to those features, as it relates to your margin expansion targets over the next 2 to 3 years?
John Hall: Well, I think the overall point we would make is that we are doing applied AI, so we are not building data centers, or running models that would drive a lot of CapEx or other expense. Dave, you can add some color here, but the opportunity for us is to take this next generation of AI technologies and apply them to specific applications based on our years of experience, and expertise in this market where we can really help the firms achieve the value potential inherent in this generation of technology. We've done that through several generations of technology. And so that's why you hear us talking about intelligence applied in the brand overall, and applied AI consistent part of our story. And the firms really appreciate that, because the general purpose systems, as exciting as they are, need some real attention in order for these firms to adopt specific applications that fit with their workflows. Their personas and the compliance needs in particular that these special firms have in the way that they use AI.
Operator: Our next question comes from Alex Sklar with Raymond James.
Jon McCary: This is Jon McCary on for Alex this evening. So I just wanted to touch on the Amplify product launch event. There's some really interesting new functionality there, particularly with the Intapp Assist use cases. So just hoping, what can you tell us about the event in terms of demand gen? Is there any quantification in terms of pipeline build or customers reengaged after that? I know you gave the 400 customers attending count, but is there any way you could give us any quantifiable sense for that?
John Hall: Thanks, Jon. We were very excited about the way that Intapp Amplify came together. This was our second year of doing an event in New York in February since COVID, and we had tremendous turnout both in-person and online. We launched a range of new capabilities across the platform. We talked about some of them in the prepared remarks there. Your question about Intapp Assist specifically, one of the things we highlighted with Intapp Assist was our new origination capability. So this is AI that helps firms who are seeking out either new investors, or new investment opportunities, or new clients to use AI to pattern match opportunities that look a lot like the types of opportunities that they want to pursue, and they've had success with over the past -- in the past. And the reception has been fantastic. We've had a lot of enthusiasm from the folks that were there, but also across our client base, because we've gone out with the Intapp Amplify story, and all of the content of it and been meeting with clients around the world. We're also going to do a second edition of Intapp Amplify this year in London in May. So that whole program continues. The pipeline has had a strong response. It wasn't specifically what you asked about with Intapp Assist, but one of the things that we really saw incredible response was the next generation of our Intapp Time product, which is very well taken up in the marketplace. And now we're able to bring this next generation of AI and cloud capabilities into Intapp Time. And there was a line out the door at Amplify for folks to see demos, and talk to us about taking that next step. And then we highlighted several of the law firms that have successfully moved, from on-prem to the cloud, and are very excited about the opportunity to take up this new AI driven Intapp Time. So several things came out of Amplify, and it's part of our overall program, as Dave mentioned, increased product R&D that is bringing more and more applied AI applications out for our clients.
Operator: Our next question comes from Terry Tillman with Truist Securities.
Unidentified Analyst: This is Bobby Dion [ph] for Terry. Just a couple on TermSheet. Firstly, can you expand on how the acquisition enhances your vertical strategy in real assets, and what does early feedback from clients or prospects look like since the announcement? And then I have one follow-up.
John Hall: Thanks, Bobby. We're very excited about joining forces with the TermSheet team. First of all, it's a tremendously expert group of people that really know the real assets industry, and the software needs of the real assets industry to incredible depth. And that's always been a theme of our company, is to bring the world's experts in each of these industries, and their business operations and what makes them unique. So the team there is fantastic. They have developed some technologies that are really incredible that expand DealCloud's capabilities to serve additional personas in the real assets industry. As you all may recall, we announced our expansion into real assets, a little over a year ago at the New York event in February in 2024. We had been led into that industry, because our multi-strategy asset manager clients wanted to use DealCloud across all of the asset classes that they invest in, both for fundraising and raising new funds, as well as deploying capital and managing assets over their life. And we had made some important developments in DealCloud, like mapping technologies and some of the geographic information system integrations in order to enable those asset managers to do that. And as we did that, we found that we were in a better-and-better position to serve the broader community of real asset investors, the whole asset class, both investors, advisors as well as operators. The TermSheet team brings us technology to serve even more of those roles inside the real assets industry, which is very parallel. It's traditionally underserved. They have an unusual operating model that is not well suited to the traditional horizontal CRMs. And a lot of the technology that we're bringing from TermSheet is going to allow us to penetrate further and further into that market. So it's a really exciting opportunity for us. And it's a big industry that needs cloud and AI technology and has not been able to succeed with that from the traditional horizontal systems historically.
Unidentified Analyst: That's great. Appreciate the color. Just secondly, I'm curious, what are the key integration milestones for the Unified solution with TermSheet and when should we expect initial go-to-market activity, or financial contribution?
John Hall: Thank you. Yes, we're already in the integration program. The teams are working together. We had a summit last week in New York. I was there for our Board meeting, and we got to meet some of the team members. It's an exciting group that has a lot of energy to go win this market. Some of the integration milestones have to do with bringing together the brands, bringing together the product for the clients in real assets. As I mentioned in the script, we have some really positive feedback from firms who had looked at TermSheet and looked at DealCloud and said this was a great move for Intapp, to make and it validated their choice for us as an overall platform for their business. And we're getting a lot of encouragement from the clients, to bring the products together as fast as we can. So, we're excited about where this is going.
Operator: Our next question is from George Kurosawa with Citi.
Steven Enders: I'm up for -- Steve Enders. When I'm looking across the metrics for the quarter, I did notice calculated billings came in a little below our estimate. I know that can be a lumpy metric. So anything one-time in nature or timing related that we should keep in mind when we're interpreting that metric?
John Hall: Yes, we've always narrated, because of the noise, not only in billings and in some of the [indiscernible] and so forth, just because of our fixed fee models with our partner ecosystem. We look more to our remaining performance obligation to give you kind of the forward leading indicators, which was very nice. But coming off the billings itself, you also have to remember we're coming off a high in F Q2, so there's going to be not only seasonality coming off of that as well as some timing. So there's nothing else to narrate on that specifically.
Steven Enders: Okay, that's helpful. And then I guess a little related. I know I'm a quarter early here, but I did want to ask about if there's any kind of color you can give us early view into FY '26, and we're trying to triangulate our models between RPO growth, ARR growth, billings growth. And then I guess on the margin side, whether you're thinking about FY '26 as more of a margin harvesting year, or more of an investment year?
David Morton: Well, we'll always continue to invest, and we'll continue to drive leverage in our model as well. But it'd be far too early and probably not prudent for us to articulate anything as we get into '26 at this point in time. With that said, we continue to work very hard on building up our demand gen. We continue to drive pipe across all of our leading platform of offerings. We like how that continues to develop not only for this intra quarter, but then also for the back half of the year. And so as you've seen our continued investment not only in the go-to-market, but also in our product and engineering, you've seen with the advancement of our new product offerings with Amplify that John narrated on, and you continue to also hear us talk about our partner ecosystem, which continues to drive co-sell motions on that as well. So we like where things are being positioned. We think it's a good setup. But as far as quantifying anything heading into '26, would be far too early for us to do that at this time.
Operator: Our next question comes from Brian Schwartz with Oppenheimer.
Brian Schwartz: John, wanted to see, if you could just give us an update in terms of the arch of improvements you're seeing from the sales reorganization that you did at the beginning of the year to target large accounts. I'm just wondering if you're starting to see some of the fruits from those changes you made at the beginning of the year, or if that's still on the come for the business. And then I have a follow-up for David?
John Hall: Thanks Brian. Yes, we did make an adjustment to the sales organization at the beginning of the fiscal year, to move more resources to the larger end of our market, which we call enterprise accounts, which is our midmarket accounts. 70% of our TAM is in firms of that class. And there's a tremendous opportunity for us both to win new clients, and to expand within our existing clients. And the team has done an excellent job of getting out, and covering even deeper the accounts at that end of the market. We've also had some very good success with a lot of the technology investment that, we made over the past couple years to do things around scalability and interoperability, and security and compliance for firms of that class. Obviously larger deals, high 6 figure, 7 figure deals, are slower from a sales cycle process, but they also payoff when they land. So we're seeing a very strong pipeline there, and I'm excited about the move that we made. It was well executed and a lot of the team has developed pipeline there. That's really in great shape. So it's an exciting time for us in the enterprise.
Brian Schwartz: Thanks, John. And then the follow-up questions just on the model I have for David, just one on the near term, just on the revenue guide in 4Q. What are you expecting from TermSheet? And then as we think about calibrating our model, can you give us any directional advice on how you think stock-based compensation should trend? It's just kind of varied as a percentage of revenue over the last two years. And just wondering, anything that you could help us directionally with the model for fiscal '26?
David Morton: Yes, no, for sure, TermSheet for F Q4, is going to be very immaterial contribution. We can talk more about the contribution specifically for FY '26 on our next earnings call. Then if as far as SBC, that will continue to trend down as a percentage of revenue. And so you should continue to see that stair step down, as it did this quarter.
Operator: One moment for our last question, please, it comes from Koji Ikeda with Bank of America Merrill Lynch.
Koji Ikeda: A couple from me here. I wanted to ask a question on SaaS revenue. And so when I look at the performance in the quarter, it looks like it came in slightly below the high end of the guide. And when I look at the last 3 quarters, the 3 quarters that you've given this guide, you beat the high end once, and you were below the high end twice. And so, just kind of wondering how we should be thinking about the performance of SaaS revenue, the visibility in SaaS revenue, and how we should be thinking about upside potential in this line item going forward?
David Morton: Yes, I think a lot of that, Koji, just gets into when the deals have been exercised, not only signed, but then provided for. And so that gets into the timing of the quarter. And so anytime you come in with that level, I mean obviously the visibility, it comes into month 1, month 2, execution and revenue yield. And so yes, that range is very narrow. And obviously there's pros and cons, pros and puts and takes as to how we can overachieve that on any given point in time. So that's kind of the prudence we put into it. Obviously, we're trying to execute even more to get even more upside off of that. But it's always going to be within that envelope. So hopefully that answers your question on that.
Koji Ikeda: Yes, no, that's super helpful. And maybe a follow-up here. I wanted to ask about how your customer conversations, are going broadly in the uncertain macro environment, maybe split between professional services and financial services, and take it from that view. But even if you could, you could get more granular if you like. If you want to talk specifically about law firms versus consulting, versus investment banking versus private equity, I mean, any sort of deeper granularity in the demand environment would be greatly appreciated.
John Hall: Sure Koji, thank you for the question. The private capital investment community pays out our bill out of their management fee rather than out of any particular deal transaction fee. So we have a very stable and growing demand from those firms as they're trying to modernize their operation, compete with each other, adopt AI, pursue origination opportunities in the marketplace, and very steady pipeline build from those firms, both new clients and expansion. I mentioned a few examples on the call, specifically to emphasize that firms standardize on DealCloud when they put it in. They start with one group and expand over time, and that's so that they can continue to raise funds, and deploy funds consistently and get the insights across all of that activity for the benefit of the management team, and their overall firm strategy and fund strategy. On the advisor side, looking at accounting consulting, the financial advisors like investment banks and then the legal firms, they have had a very steady pull to digitalize their operation, because they have not succeeded with the traditional horizontal system. So I gave several examples and tried to do it each quarter, of us replacing very well-known horizontal CRM systems. Because we have the purpose built platform that's getting more and more traction and credibility, across even the very largest firms in the enterprise class. So I think it's an exciting vertical industry cloud category creation situation that, we're in where we're really following the example of pioneers like [indiscernible] for each of their -- those firms' industries, to bring the next generation cloud and AI platform to these folks. We have said over the years that, if there's any of our end markets that's more sensitive to the cycle, it might be the investment bankers themselves. But we've had some very good and large wins. I gave an example with DNB in Norway, where they actually did an acquisition and standardized on Intapp DealCloud across the whole firm as part of that. And that's really the awesome situation, where people have really said, this is the platform for our future. And so, I think that's where we are at an important time in the overall industry's move to be more cloud-based in their technology and more AI enabled and also compliant. A really important part of our overall story is the fact that our platform is built to be compliant, with the unique requirements, both ethical, professional and statutory regulatory, for this industry. And it really sets our overall platform apart. So, we've grown the company through direct client funding for all these years, because we actually understand the idiosyncrasies of how this very large, underserved industry works, and that's what's driving our business.
Operator: And this concludes our Q&A session, and I will turn it back to John Hall, for final comments.
John Hall: Okay. Well, thanks, everyone. We appreciate your attention and your questions. We have a great Q3 behind us, and we're very excited about our continued momentum in fiscal '25. Thanks again for your time today, and we look forward to talking to you next quarter.
Operator: Thank you. And with that, we conclude our program for today. We thank you for participating, and you may now disconnect.